Operator: Good morning, ladies and gentlemen. My name is Mariama [ph] and I am your conference facilitator today. I would like to welcome everyone to the Cleveland-Cliffs’ 2019 Second Quarter Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. The company reminds you that certain comments made on today’s call will include predictive statements that are intended to be made as forward-looking within the Safe Harbor protections of the Private Securities Litigation Reform Act of 1995. Although the company believes that its forward-looking statements are based on reasonable assumptions, such statements are subject to risks and uncertainties that could cause actual results to differ materially. Important factors that could cause results to differ materially are set forth in reports on Forms 10-K and 10-Q and news releases filed with the SEC, which are available on the company website. Today’s conference call is also available and being broadcast at cleveland-cliffs.com. At the conclusion of the call, it will be archived on the website and available for replay. The company will also discuss results excluding certain special items. Reconciliation for Regulation G purposes can be found in the earnings release, which was published this morning. At this time, I would like to introduce Keith Koci, Executive Vice President and Chief Financial Officer.
Keith Koci: Thank you, Mariama. And thanks to everyone joining us this morning. Before getting into the discussion of our second quarter results and outlook, I wanted to briefly highlight the financial transaction we completed earlier in the quarter to improve our balance sheet. Shortly after we reported our last quarter results, we issued $750 million in unsecured notes due in 2027 at a five handle coupon. This new issue allowed us to both retire legacy notes coming due in two years and reduce the size of our largest debt maturity tower in 2025 by $600 million. With the transaction closed, we have no debt coming due until the year 2024, also, our previous $1.4 billion maturity tower in 2025 was nearly cut in half and pushed out another two years to 2027. We accomplished all of this without a material change to our annual debt service expense. Even though our balance sheet was already in excellent shape, we are and will always be on the lookout for opportunities like these to make it stronger. Now to our financial results. For Q2, we reported total company adjusted EBITDA of $249 million, a dramatic increase from $21 million in the first quarter which is typical for the seasonality of our business as it is today pre-HBI. Our Mining and Pelletizing segment generating $281 million in adjusted EBITDA, an impressive result driven by stronger than expected shipping volumes of 6.2 million long tons, as our customers maintained a healthy appetite for pellets throughout the quarter. For the full year, we were able to maintain our pellet sales forecast of 20 million long tons. Despite some reduction and nominations from one major client, our newly accomplished ability to produce and export meaningful tonnage of DR grade pellets, coupled with better overall pricing in the seaborne market were enough reasons for us to allow and maintain our forecast. Lourenco will discuss that in more detail later in this call. The remainder of our expected 2019 shipping volumes will be more back loaded to the fourth quarter, when the mills usually stock up before the annual winter freeze. During the second quarter, we had a six year high, and pellet price realization, with an average net back selling price of $113 per long ton. That was driven by the rapid increase of iron ore prices we have seen this year, which was good enough to more than offset the negative effect of falling domestic hot rolled coil prices throughout the quarter. With HRC index pricing reaching a low of $510 per short ton during the second quarter, we had to make a sizable negative true up adjustment to revalue pellets sold in prior periods. Conversely, because our sales contracts utilize full year averages as indices, and some contracts have quarter lag provisions, we have not fully benefited from the latest levels of iron ore pricing and our price realizations just yet. As iron ore prices continue to average up and assuming the recent recovery in steel prices continues on its current upward trajectory, we would no longer be subject to negative true ups and can expect even higher selling prices for our pellets in the future. Our cash costs for the quarter was $67 per long ton, consistent with the guidance we gave last quarter where we expected to be at the high end of our outlook range due primarily to higher royalties and higher profit sharing. As a whole, all other major cost components including labor, energy, stripping, recoveries and materials have remained consistent with our original forecast. We expect cash costs to remain steady at the Q2 level during the back half of the year. Another positive item for the second quarter was that, due to the completion of our North Shore plant upgrade ahead of schedule, we were able to record a small volume of intercompany DR grade pellets to our metallic segment. Because of the early completion of the Northshore project and coupled with the anticipated ahead of schedule startup and the Toledo plant, we now plan on transferring more pellets to our facility this year than previously budgeted. We are increasing our DR grade pellet intercompany sale expectation from 500,000 to 800,000 long tons all of which to take place in the third quarter. Because these pellets are for intercompany use, unlike our third party commercial arrangements, these sales are recognized immediately after they are produced instead of when delivered explaining why all 800,000 long tons will be recognized as sales in the third quarter. Accounting wise, you can begin to see how the intercompany DR grade sales are being treated in our financials. The margin we will generate by selling DR grade pellets to ourselves should be roughly comparable to the industry high average margins of the rest of our merchant pellets. We record the revenue and cost of goods sold associated with the transfer at the segment level, but these intercompany sales are eliminated from our consolidated results. As such, in this quarter and next quarter, our corporate consolidated revenue and cost of goods sold will be lower than that shown in the mining and pelletizing segment, and the eliminated margin on intercompany sales will run through the corporate line item in our segment breakdown of EBITDA. Finally, once the HBI associated with these pellets is actually sold, you will see this margin re-included in our consolidated results and EBITDA. This will have the positive impact of removing some of the seasonality inherent in our pellet business since we will be able to sell HBI throughout the winter. And wrapping up my remarks, with less but less than a year left until the major capital spend on HBI is done, we are just on the brink of our much anticipated overwhelming cash flow generating position. It may be difficult for some to see right now given we are still in peak capital spending mode on HBI, but in less than 12 months, we'll be looking at a business that is set up to throw off enormous amounts of free cash. I’d like to say, with our HBI plant completed and in full production free cash on an annualized basis will be EBITDA minus $220 million. Other than $100 million of sustaining capital, and $120 million of debt service, all the rest of the EBITDA is free cash. Since we will continue to use our NOLs and I'd have to disperse any cash to pay taxes for the foreseeable future, and we are not even adding to this free cash number, the cash coming from our future AMT refunds which are real as you all know. At price levels comparable to what we've seen this year and with HBI layered in, we would expect to generate about an annualized $1 billion in EBITDA meaning that we would have around $800 million in free cash flow to return to shareholders primarily via stock buybacks and increased dividends. On that positive note, I will turn it over to Lourenco.
Lourenco Goncalves: Thank you, Keith. And thanks to everyone for joining us this morning. I'm going to pick up right where I left off in the last quarterly conference call with the same exact message I had last quarter, regarding the current and future situation of supply and demand of iron ore. Welcome to The New Normal get use it to The New Normal. There is no short term or medium term solution for the shortages in this seaborne iron ore market. With Cleveland Cliffs profitability closely tied to the iron ore markets, we have a nice future ahead of us. This is exactly what I told you in the last call when the IODEX had just passed the $90 mark on its way up. At that price level or is likely above that number, the commodity desks of several financial institutions and other so-called experts one after the other have caused the iron ore benchmark price at the peak, and here we are today three months later with the IODEX more than 35% higher than that at $121 85. So one more time, there is no short term or medium term solution for the shortages in the seaborne iron ore market. Welcome to the new normal. Get use it to the new normal. Despite our prediction during last quarter's call, and despite the iron ore price increasing day after day system, the stock markets had no conviction about how much or even if our second quarter results would actually benefit from that. As always, we did not fight the take, instead we took advantage of the prevailing skepticism. We increased the size of the share repurchase program and bought back another $130 million worth of Cliffs shares during the second quarter, bringing the total amount spent to buy back shares to $300 million since the inception of the program just eight months ago. Other than HBI there was no better use of our capital than repurchasing shares, which we did -- we dropped $10 dollars per share. And now after buying back a total of 10% of our outstanding shares, our long term shareholders own over 10% more of the company than they did just a few months ago without having to do a thing but stay long. Soon enough, when we are through big capital spend and producing HBI nameplate, these will be seen as an absolute no-brainer. As always, I thank very much all the sellers of the shares we bought back. You sold your shares very cheap. Again, thanks for your gift to Cliff's shareholders. Besides the new normal for iron ore prices, the added view that drives our moves going forward is that the current weakness in the domestic steel market is temporary. Actually, we are already seeing the recently announced steel price increases sticking, and we have conviction that we have already passed the bottom for hot rolled steel prices in the United States. As far as domestic steel prices, from now, on the trend is upward. Despite the low HRC price being an important part of the pricing formulas in our contracts, we were able to hit a six-year high in pellet price realizations, thanks to the IODEX performance. Just as we intended, when we redesigned the new pellet contracts for Cleveland Cliffs a few years, unlike four or five years ago, we are now much better protected to weather demand reductions related to speed bumps in the domestic steel sector. If you recall, in 2015 we had several of our customers curtailing production at their blast furnaces and we were forced to other two of our minds in response. Since then, we have the actively mitigating this situation and taking preventive measures against the possibility of such problem occurring ever again. First, with the addition of our HBI plant, we have created new demands for almost three million long tons of pellets per year. These new demand will in good times tighten the market, and the bad times provide us with volume, it's certain while paying ourselves at a healthy margin. Second, our new pellet contracts have more take or pay components that minimize nomination reductions, providing us with another layer of protection. Third, we now have more optionality and product flexibility. We can make a standard, flux, super flux in DR grade pellets. We can access both the EAF metallic markets or the traditional blast furnace market, with quality specs for the full spectrum of needs. And finally, with the new normal in iron ore pricing, we have the export market as another high margin outlet for our pellets. While we continue to first meet the obligations under our local supply agreements, in the event of nomination reductions we can now sell to buyers overseas and still make decent money. Although the pellet premium hasn't moved much since the beginning of the year, pellets are much more expensive in the seaborne market by virtue of the increase IODEX. Remember, the pellet premium is the sum of the iron ore price with the pellet premium. Just doing simple math, on the IODEX and pellet premium, and assuming current freight charges to ship out of the seaway, in today's export market we would be able to enjoy price realizations in the seaborne market similar to what we currently get from our long term domestic clients. That effectively provides us with another accretive alternative source of demand for Cliffs’ pellets outside of the United States. In fact, over the past month, we saw one of our customers pulling forward planned maintenance into this year and lowering its pellet nomination as a result. So far, we are offsetting these revisions by sending more pellets to our Toledo facility, which is actually necessary giving their accelerated startup date of the HBI plant. We are also scheduling a few vessels to the export market including sales of both blast furnace and DR grade pellets to seaborne customers. As you can see from our consistent quest results, we'll continue to produce these pellets on reliable, safe and environmentally friendly manner, and should be able to accommodate revised pellet nominations without complication. Also, we can always assume that a portion of the demand not being served by this one -- maker is actually being covered by another Cliffs’ customer as we actually saw some incremental demand from one other client. In an event, our strategic foresight to be ready for these scenarios is the reason why we are heading towards our fifth consecutive year of EBITDA growth, even with low domestic steel prices, offset by a new normal of robust IODEX and the scarcity of pellets in the seaborne markets. We will be even more protected next year and going forward with the addition of HBI to our portfolio. With the conclusion of our Northshore upgrade project in the second quarter, and the initial production of DR grade pellets ahead of schedule, we were also able to push the conclusion of our Toledo HBI blend construction to an earlier startup. With that, we are now aiming to start commercial production of HBI no later than June of 2020 for two months ahead of the original schedule. At this time, I would like to personally thank and congratulate Craig Filizetti and all involved in the completion of the Northshore upgrade for their -- I'm sorry is Steve Pass and all involved in the completion of the Northshore upgrade for their hard work puts for delivering a DR rate pellet on spec in the very first batch, and second, for making possible an earlier startup in Toledo. On that note, this past quarter was a productive one for us in Toledo. Among other accomplishments, we finished this sticky built portion of the reactor tower, which is currently -- which currently stands 200 feet tall. From now on and over the next few months, we'll be using the largest crane currently in operation in America to finish the remainder of the tower and to complete the 450 foot tall structure. We are also moving our general manager of construction in Northshore, Steve Pass to help the general manager of Toledo, Craig Filizetti and I have this combination of Batman and Batman taking care of the very end of the construction of Toledo, which we're very excited with. With project completion and commercial production now less than a year away, we have reached a spot where we have certainty and visibility on total spend. We have always been working with a 20% construction continuous expectation, which is the usual standard for a project of this size. Now, that we have clarity on completion, we are pleased to report that we only need to allocate about 30% as contingencies. The primary items making up this allocation are, additional infrastructure and additional stability to work necessary to facilitate a bigger and more automated plant than originally planned, and most importantly, the extra labor costs driven by the advanced construction schedule. After allocating the contingency and assuming a bustling scrap price environment, going forward, consistent with the last two years, the final IRR of the Project calculates at a very good number of 26% privately equity [Indiscernible] queue for a 26% internal rate of return. That's our number. The rewards of our HBI plant are not just financial. Those that closely follow the industry are well aware that the transition from blast furnaces to EAFs further enhances our already pristine environmental and emissions profile in the United States. This view is presently everything. Despite several centuries of efforts, the world has yet to identify a viable replacement for steel, while producing and consuming steel at a pace that continues to accelerate, however, I made this point before and I'll do it again, the world needs more steel, but the world also needs less pollution. I really hope that the current mood we have seen in the capital markets toward environmental, social and governance compliance, to be real. If that proves to be the case in the not so distant future, only ESG compliant companies like Cleveland Cliffs’ and countries like the United States will deserve the allocation of capital from sensible investors. When that happens, China and others to making countries like India, will not be able to continue to pollute the world's environment as they do now almost completely unchecked, particularly in our space once [Indiscernible] pleased to making is finally embraced worldwide. The future will be high grade iron units, meaning high iron ore content or pellets and metallic. This is what Cleveland Cliffs is about, and any initiative we explore in the future will be centered on this core products, predicated by what we feel is an undeniable trends. Wrapping up, we are already benefiting from the new normal, with a shortish in the iron ore market, particularly for pellets. And soon enough, we should benefit from the next trend, an overdue push to environmentally friendly steel making worldwide. With that, I'll turn the call back over to the operator for questions.
Operator: [Operator Instructions] Your first question comes from Lucas Pipes with B Riley FBR. Your line is open.
Lucas Pipes: Hey, good morning everyone and congratulations on another very good quarter.
Lourenco Goncalves: Thanks, Lucas good morning.
Lucas Pipes: Lourenco, good morning. Lourenco I first wanted to ask on the CapEx side, so there were a couple of moving pieces you mentioned the lower contingency of 13% versus the 20% previously but then you increased this year. I mean the way I understood it maintaining the total CapEx guidance for the project, could you could you just kind of walk us through it. What we expect -- what should we expect for 2020 in terms of capital spending? And where would we see the benefit of the lower contingency? Thank you.
Lourenco Goncalves: Okay Lucas, thanks. Look, there but continues to be 830 [ph] million and we are actually giving a few good news. We're delivering a few number of good news regarding the project. First, we are now less than a year away from a conclusion. With that, with the fact that we anticipate at least two months, the conclusion of the project and startup of the plan it's time to allocate conditions. Based on our best estimate at this point, we don't need the entire 20% that we have been working with since the beginning of the project, only 13%. So if you calculate the number it would be something like 110 million on top of the 830 million that we're talking out. And the fact that we're spending more this year than we previously anticipate this is very easy to understand. We are spending money this year that we're supposed to spend only in next year. So things that was in January or February of next year now in December, November, October of this year. So we need to do to bring up those expenses upfront, because we are ahead of schedule. So that's the difference in 2019 cutbacks. And as far as 2002 [ph] annual be the balance, so calling the 800 and 30 plus the -- contingency as the number for completion, no matter if you do a little more in 2019 or a little less in 2020 we're still doing the same thing. So definitely that’s the story.
Lucas Pipes: Got it. Okay, that’s helpful. Thank you for that. And then the 26% IRR does that includes any of the benefit that you would capture on the mining and pelletizing side? So you mentioned you're going to tighten the pellet market as well. And then, I see opportunity for higher prices when you sell intercompany versus some of the contracts you have out there, would that benefit be captured in the 26% IRR?
Lourenco Goncalves: Yes. Thanks for asking the clarification, and the answer is no. We are considering the 26, but we are calculating the 26% IRR after paying for the DR-grade pellets that you're delivering from Northshore to Toledo at market price. If you include the benefit of the production of DR-grade pellets execute in that you account for the DR-grade pellets cost. DRI would be way above 30%, but would be in ingenious, Lucas, because we also spending $91 million or $92 million at Northshore to create that capability. So, I don't have from the top my head, the IRR combined including post projects. But I assume that it will be in the 30%, 31%. But then I need to add the CapEx that was spent there as well. So I'm just staying with the CapEx of Toledo and considering the price of fixed stock paid at market price, that at the not cost, includes profit.
Lucas Pipes: Got you. Okay. That's very helpful. I will turn it over for now and continue. Best of luck. Thank you.
Lourenco Goncalves: Thank, Lucas.
Operator: Your next question comes from Alan Spence with Jefferies. Your line is open.
Alan Spence: Hi. Good morning and thanks for taking my questions. First on CapEx, I'm wondering how quickly after you reach commercial production you think you can get to reaching kind of nameplate capacity?
Lourenco Goncalves: Good morning, Alan. Nameplate, we will be a target for 2021. 2020, we will be the – that we're going to finish the plant. We are going to do a lot of trials with the clients that we continue to discuss with. The clients will progressively fall in love with the product. We know that will happen. That would be the first step. The second step they'll get rid of pig iron from Russia, pig iron from Ukraine, exotics countries that are enemy of United States by in large like Russia. So we can't wait to take these guys out of their market very quickly. So that's the route we're going to do and that's the work we're going to do in 2020. And we plan to do all that during 2020 to a point that when we hit January 1st, 2021 we will be a nameplate pace already. So you should consider that 2020 will be whatever it will be. And 2021 will be nameplate.
Alan Spence: Okay, understood. Thank you. And more near term, obviously a very strong sort of sales volume for this quarter and I think Keith made the comments earlier about of being a remainder of the year little bit back half, back end weighted. How should we think about sales volume in Q3 verse Q4?
Lourenco Goncalves: We are expecting Q3 volume at $5.5 million or more. In the Q4 something above 6, let's call between 6 and 6.2. So, these are the numbers. But they were not any [Indiscernible]. Yes, because we at the same talk that we're expecting the number just mentioned in Q3, weather staying away, weather is right now we should do better than that. And Q4 is always unknown because we never know when winter will hit. I think that the biggest point to consider right, Alan, if you allow me, is that any dramatic drop of nomination that the clients put on us right now by the way abundantly clear full disclosure so far, no dramatic decline in the nomination. Only decrease in nomination from one client partially offset for another – by another client that increase the nomination, so far so good. But the biggest change with this company right now from the clients perspective, if they start dropping the nomination right now when the sun is up in the sky and the weather is good and the lakes are actually – we have so much water in the lakes that we can load the boats above and beyond what was draft line before and we are really taking advantage of that because we have a depths in the lake that are favoring transportation. Dropping nomination now can be a suicidal move, because I'm going to start moving pellets into Toledo. I'm going to start moving pallets to Quebec City to export and we will comply with all nomination arrangements and all commitments that we have with the clients. I'm just not going to be as fast as in the past to go back when they have change of minds. So they might need to wait and that's there is a problem. I don't know if you follow the explanation, but I'm just showing you that at this point we are lot protected against fluctuations in nominations within the contracts, but the clients are more exposed, and they need to take that into consideration when making their decisions on change in nomination.
Alan Spence: That's very clear. And just quick clarification, the Q3 number is that inclusive of the 800,000 tons you will sell internally?
Lourenco Goncalves: Yes, sir.
Alan Spence: Okay.
Lourenco Goncalves: Because physically we used to the same fleet, the same port, the same handling equipment, so yes that's correct.
Alan Spence: Okay. Thank you very much.
Lourenco Goncalves: Thank you.
Operator: Your next question comes from Matthew Fields with Bank of America. Your line is open.
Matthew Fields: Hey, Lourenco, hey, Keith, congratulations again on the progress on Toledo.
Lourenco Goncalves: Thank you very much, Matt.
Matthew Fields: I just want to ask about – jump all over, I'm sorry, but so you're exporting a few pellets both sort of regular pellets and DR-grade pellets at Quebec City. What your sort of net back math on gain anti-Europe?
Lourenco Goncalves: That's very similar to the current freight, the current in the domestic market. If we – pricing is factored into the range, so we – because of the current favorable condition to export price wise we can net back more or less the same thing if we do extra freight.
Matthew Fields: So, if iron ore is give or take 120, the pellets premiums give or take 65 or 70 and your freight is X netting back to you, you're getting about one-ten or one-twelve on your net back for realization?
Lourenco Goncalves: Yes. The range that we've provided stands regardless of selling everything domestically or selling a portion export.
Matthew Fields: Okay, great. Thank you. And then you mentioned that your capital allocation is kind of going to be -- once where our nameplate in 2021 and beyond, capital allocation will be primarily for dividend and share buyback. Does that mean kind of the current debt value and your current level of debt which is $2.2 billion roughly? Is that the right level of debt for Cliffs going forward once Toledo is up and running? Or do you want to see it a higher or lower?
Lourenco Goncalves: Okay. This thing of right level of debt is a very tricky. And in the past when we had to really clean up the balance sheet and do things, I put a target of a billion which we kind of got to, because I got to 1.3 billion but I spend 300 million buying out my partners at two of the operations and buying land in Nashville, if you recall that. And now we also spend another $300 million with share buyback, so it’s a moving target. The fact of the matter is, we are -- what Keith was explained.. We are extremely comfortable at this point because as soon as we have HBI up and running, our EBITDA minus $220 million is free cash. And what we do with the free cash in a company like Cliffs? You give it back to the shareholder through share buyback, through increased dividends, through special dividends. So that's what we're heading to here. We are not going to spend more than $100 million in cut backs a year after we have HBI done and up and running. And remember HBI needs –the HBI plant needs a lot less CapEx and are concentrating pelletizing pellets in the mind. So it’s a different anymore as far as maintenance CapEx. So, $100 million a year is actually rich. But let's consider $100 million. And then I have $120 million in interest expense that's pretty much it and for the foreseeable future. Remember, we don't have anything to address till 2024. So, EBITDA minus 220, that's the money that we have available to pretty much give back to the shareholders every year.
Matthew Fields: And there's no M&A or other expansion plans that you would allocate cash on the top of the line?
Lourenco Goncalves: Well, not today. I can say, never. We are always looking for opportunities. But these opportunities are far – few and far between. It's very difficult to exceed the returns of that and share purchased at this point. Remember, we made [Indiscernible] decision to buyback stock. That was our – I explained that before I started. So we are always analyzing this M&A things, M&A possibilities. We are always going to analyze against alternative use of capital. We're not going to grow just to be bigger. I'm comfortable with the size. I'm comfortable with what I'm doing. I'm comfortable with my industrial basis and I'm more than super excited about the fact that very soon we are going to be producing HBI. So I don't need size to feel better. I feel very good the way we are. And I feel even better if I start returning money for the shareholders in a more massive way. We're returning a lot, $300 million. I will research analyst calls today the buyback the buyback of another company much bigger than us. They acquired back $127 million. He called that a strong execution. I did not even know that buying stock was execution. But execution for me is operating and selling stock. But anyway if $127 million for debt huge company is strong execution, 134 is a miraculous execution. So we are returning a lot of money for their shareholders on that. Our dividend increased 20%. It's some may say, try to dismiss our dividend. They are only $0.05, they are just $0.06, well, and $10 that was the prevailing stock price and stock corrected, finally correct to a number that is too very low, but it’s a lot better than 10. Our use is 2.4%. So yes. So how many companies in our space delivers 2.4% huge on dividend. And this is growing. This will continue to growth. This money belongs to the shareholders. And especially the company like ours, with zero chance of having a balance sheet problem or like we had five years ago, risk of bankrupts and things like that. And 70 million share short, oh my gosh, I have already source of free money from this shorts. It's right there. They probably don't realized, but I continue to boil them like frogs in the pan full of water. It's as low but one day they don't realized that it's not a one pool it’s their death bath.
Matthew Fields: Fair enough. One last one from me please, just bigger picture. When IODEX kind of 120 like you said in the pellet premium up to 67.5, are European steel making really paying 185, 190 a ton for pellets? Are they demanding in sessions, at what do they start to really push back or even sort of idle blast furnaces?
Lourenco Goncalves: Look, I don't have an answer for you on that. I haven't sold pellets to Europeans steel maker in a long time. So I don't know. And actually they export opportunities that we're envisioning at right now are not even Europe. I believe honestly Matt, that Europe is the next playground for China. They love free trade. They are the free traders. So they believe that tariffs should not exist to protect the domestic market against the bad player like China and others. So now that we have protection here in United States, the Chinese steel that continues to grow and continues to increase the Chinese output needs a home and apparently they are finding a home a Europe right place because they love free trade. So I'm enjoying seeing Chinese steel going to Europe. So I don't know the answer to your question.
Matthew Fields: Okay. Thanks very much and congratulations again.
Lourenco Goncalves: All right. Thanks Matt.
Operator: Your next question comes from Scott Schier with Clarkson. Your line is open.
Scott Schier: Good morning everyone and congratulations on a very strong quarter. Lourenco, could you talk a little bit more about your outlook for the pellet premium going forward? We've seen such a compression, the quality spread recently. I'd be interested to hear your thoughts on when this will return to a more normal level?
Lourenco Goncalves: Yes. Look, that's a very good question. Look, you should never lose track to the fact that the pellet price is not the pellet premium. The pellet price is the sum of the IODEX with the -- or the sum of the price of ore no matter if it's IODEX 62% or the benchmark price for 65% plus the pellet premium. The way we envision here in our context is the 62 plus correction for iron content plus pellet premium, that's our price. So, if the IODEX appreciated from 90 to 120, 185, let's call it 120, just facilitate my calculation, so appreciated 30 bucks. The pellet premium theoretically could go down 30 bucks and I'm still in the same spot. And of course, the pellet premium didn't go down 30 bucks. The pellet premium went down three bucks. So, plus 30 minus three, it's a plus 27. So we're good. So it's not a pellet premium thing. And people get really stuck in to these details of how their prices are calculated and these and that. At the end of the day other than China, that's always faking, always lying, always pretending, always polluting everybody else that's buy pellets they'll pay a lot more for pellets because they must comply with environmental regulations that do not allow them to use Kraft [ph] as feedstock, like here in the United States, like in Canada and the few other countries like Japan, like in other. So they are paying more. Did I answer your question?
Scott Schier: Yes. That was very helpful. Thank you. Just to follow that up on iron ore pricing in general do you expect supply demand conditions to ease from here and pricing to move lower or you do see the $120 ton level as the New Normal?
Lourenco Goncalves: Yes. I have to call this a New Normal for some time. I am surprised that I'm still kind of the only one that makes my life really easy because I just need to execute accordingly to what I say and I have been executing according to what I say. So look we -- go back four months, five months, we're in July right now. So go back four months. At that time our aim is to make in the world should have a moment of reckoning and say, oh my gosh, iron ore prices are going up and my steel prices are not great. Then we must find a way to increase the steel prices. But I know they should make or they prefer to get stuck with that thing of I control what I can control, I don't control, what I cannot control, okay. So now in Q2 you are going to enjoy your own inability to see reality. And going forward welcome to the New Normal, get used to the New Normal. We are not going to do any Amazon Prime day. We are going to continue to charge full price for that pellets. So if you don't increase your prices you are going to be squeezed. That's my message to my clients and to the clients of other iron ore miners because they don't talk to their clients like that. They are a lot more politically correct than me. But anyway that's a different conversation.
Scott Schier: Great. Thank you very much, Lourenco. Good luck going forward.
Lourenco Goncalves: Thank you very much.
Operator: Your next question comes from Nick Jarmoszuk with Stifel. Your line is open.
Nick Jarmoszuk: Hi. Good morning Lourenco, Keith.
Lourenco Goncalves: Good morning, Nick.
Nick Jarmoszuk: With the Northshore project what is the DR pellet production capacity now?
Lourenco Goncalves: 3.5 million long tons per year.
Nick Jarmoszuk: Okay. And all of that will be consumed by the Toledo plant? A - Lourenco Goncalves No. The Toledo plant is 1.9 million metric tons a year. And we need at that something like 2.7, 2.8 million long tons of pellets taking huge into consideration. So we always have. If you produce a Northshore capacity with DR-grade pellets. We'll always have like 700 to 800,000 tons a year of DR-grade pellets that we plan to sell to select clients that we have ongoing relationships.
Nick Jarmoszuk: Okay.
Lourenco Goncalves: We are not going to supply anyone that we'll produce HBI to compete against us. So that's not going to happen. I'm going to supply someone that will put. I already told me [Indiscernible] go sell in another territory, because right here in the United States you have a problem. I'm not going to supply any DR-grade pellets to anyone in the Midwest, so it's not going to happen. But I will supply other companies who are like in the past we supply [Indiscernible], we supplied ArcelorMittal in Canada. So these are the ones. Anyway we are looking for -- always looking for long term partnerships that could be good for us like North Africa, Middle East place like that.
Nick Jarmoszuk: Okay.
Lourenco Goncalves: Place that our basically were left in the rain with the problems that happen in Brazil.
Nick Jarmoszuk: Understood.
Lourenco Goncalves: There's an opportunity there right now.
Nick Jarmoszuk: And with the tons that the company is exporting can give us what the volumes are between regular blast furnace pellets and if there are any HBI pellets in there as well?
Lourenco Goncalves: We don't have this breakdown just yet because we just started moving pellets to Quebec City and we started moving DR-grade. So at this point we haven't moved any blast furnace pellets to this yet, just DR-grade, so we'll see. Look, if there is no cancellation there's no reduction in nomination. Going forward that was stop and redirected the pellets to the domestic market. Domestic market will always be my first priority. But we are just preparing ourselves to the advance that nomination cuts will come and then I will not come in and shout out [Indiscernible] what I can control. No. I can control stuff like that. I can control they will do, but I can't control what I would do depending on what they do. Well that's called the strategy and execution. We do that I love it here.
Nick Jarmoszuk: As of today what are you expecting the export volumes to be?
Lourenco Goncalves: As of today, 300,000 tons, but if you ask me tomorrow I might say 500. You know one week would be 100 or one million. I don't know yet.
Nick Jarmoszuk: As these pellets are transported from like Lake Superior through the locks and through Quebec City, are they damaged? Is the quality degraded any from all the handling or no?
Lourenco Goncalves: Pellets don't like handling. So every time you unload a pellet and you load it again you generate fines, you create issues. So pellets don't like to be moved from point A to Point B and then load it again. That's not a thing that we'd like to do. But that's actually the nature of the beast. All this pellets that move in this newborn market they move a lot. I'll give you an example. Brazilian producer will produce pellets and then mineralize [ph] they move the pellets to the port and then load it on a vessel and then the vessel will go through seaport and then it will get to the port in China and unload it and put into storage at the port and then someone will grab that pellet and moved to closer storage to the new, then to be sold to a new. So how many times this pellet was loaded and unloaded generating fines and generating problem. So ours will not be different. But the good thing is that our pellets are high quality, so they resist a lot more to this type of deterioration. But you are right. The pellets in general don't like that.
Nick Jarmoszuk: And then last question on the AMT refund. Could you remind us what the refund schedule is over the next several years?
Lourenco Goncalves: I'll let Keith to answer that, Nick.
Keith Koci: Yes. We've got another $117 million coming and it's broken out over the next three years. So you can see like $58 million come in 2020. And then following after that you've got like $28 million each year after that.
Nick Jarmoszuk: Okay. That's the balance of it?
Lourenco Goncalves: Right. That's correct.
Nick Jarmoszuk: Okay. That's all I had. Thank you.
Lourenco Goncalves: Thank you.
Operator: Your next question comes from Sean Wondrack with Deutsche Bank. Your line is open.
Sean Wondrack: Hi, there. Nice quarter and I was impressed to see that you'd accelerated timeline on the HBI plant. Just a couple from me this morning. You mentioned earlier something about having not fully benefited from the iron ore price realization. Can you just clarify what you mean by that?
Lourenco Goncalves: Yes. Look, each contract is different. Each contract with the different clients is different. For example, there's one client that has a lag in their contract. So this client hasn't seen any huge price increase because he is still being charged based on the price of iron ore back in March, April, May, so very soon he will be paying April, May and June and so on and so forth. And that's one client that has this lag. So all things considered, things will continue to improve for us and we believe that there's a still price to recover. We should also have help from that. So that's how we see it
Sean Wondrack: Right. And the steel price recovery that should help offset even if there is a little bit of weakening in the iron ore price just given where steel prices are. Just a quick question on…
Lourenco Goncalves: Why you would expect that – hold on, hold on, hold on. Are you expecting weakness in iron ore pricing?
Sean Wondrack: No. I'm not saying that. I'm just saying that as an investor when you're thinking about it coming off this very low steel price should only provide you additional upside, basically price for blast furnaces [ph]?
Lourenco Goncalves: But you said that could offset weaker ore prices, it will be comfortable for me to just agree with you, but I have to call you out on that because I have been spending a lot of time in this cost explaining why there is more weakness ahead in iron ore prices. But you know people disagree. That's why we buy cheap stock in the marketplace. I haven't checked the commodities desk of Deutsche Bank these days, but they do know you there price deck of your bank?
Sean Wondrack: I'm not even 100% sure but, excuse me, Lourenco, I don't think the price of iron ore is going down. That's not what I'm trying to say here.
Lourenco Goncalves: Okay. We are on the same page.
Sean Wondrack: I apologize if that was confusing.
Lourenco Goncalves: No, no, don't need to apologize.
Sean Wondrack: Okay, cool. The freight advantage, when you think about supplying new customers around the Midwest with HBI, could you just you know big picture, what is your freight advantage of supplying them versus Russia or Venezuela or any of these other countries that have been shipping DRI or pig iron to those clients as of now?
Lourenco Goncalves: Okay. Let's take – it depends on -- the advantages varies with the client, but let's take one that's really easy to understand. North Star BlueScope, North Star BlueScope will be a big buyer of our HBI. We are Toledo, Ohio. They are Delta, Ohio. They will be receiving our HBI continuously by truck. So they will not have to carry any inventory on their site because we are going to deliver pretty much just in time. And the only freight that they will pays truck freight. If they were buying from Russia the material they have to be transported from point of production to port in Russia then load it in our vessel then sail to the United States, unload it in Quebec City and then or New Orleans and then load it in a vessel to bring them to the site that would be a barge up the Mississippi or a train from ports to Delta Ohio. And you keep adding these things and compare with the freight truck. So, its huge freight advantage, and our plan is to share this advantage with the client not to give it away, but to share with the client, so the client will not have to pay their humongous freight to bring iron from exotic places. And on the other hand, we are not going to give the entire advantage. We share a lot with the clients. But we are going to be very price competitive. We're going to be very quality competitive; our HBI is not the HBI of the past. It’s not HBI, historical HBI. It has a lot more mechanical resistance. It has 3% carbon content with pretty close to pig iron. So it'll be like pig iron, just study and it will have a logistics advantage that is second to none. And as far as quality, one thing that we're going to have, we're going to have HBI being produced from iron ore -- from one mine that's the Babbit mine, and the one pellet that’s the Northshore plant. So only Paul Carson [ph] of Northshore will be producing DR-grade pellets for Toledo. So that's the type of narrow quality that metallurgists are looking for. So the operators of the EAF will have something as far as feedstock that they don't know yet. As soon as they start receiving material for trial, they will become excited; the same way the operators of blast furnace are always excited about our blast furnace pellets.
Sean Wondrack: Thank you for that explanation, that's very helpful. And then my last question just, you know you're coming into a position of strength like you've never seen before you know guiding to roughly a billion of EBITDA against cash needs of only $220 million. You're basically going to have cash to do whatever you want in terms of dividends share buybacks, debt reduction. Given that kind of backdrop and the lack of supply security for iron ore in the U.S. are you worried about Cliffs as a company becoming an acquisition candidate and have you seen any kind of M&A interest towards Cliffs’ over the past few months?
Lourenco Goncalves: Look, we are for selling the Stock Exchange every day. And our price, our stock price has been certainly low for an extended period of time. In the meantime, there was that could theoretically balance sheet wise, could make a move, and make up an offer to buy Cliffs they were all involved in what I used to call the Brazilian, Australian Championship of the [Indiscernible]. They are very interesting being the low cost producer of the world, and now they have paid the price for that. Instead of being looking into buying a company like Cliff they are concerned about fixing the disaster that was made first by Samarco [ph] and then by Vale, they are also coping with a few problems at the port, and five and lots of stuff that are all a consequence of a cost cutting environment that I have been throughout the five years explaining. Mining business is not a cost based business, it's a different ballgame, its value use, its margin, it’s in using money to maintain your facilities and mines so that focus on cost is important, but can't be the main focus. So the answer to you is no. So despite the opportunity, they're the ones that could buy Cliffs’. They are not going to pay the price that I would demand to sell the company, because they are busy taking care of their own problems at this point.
Sean Wondrack: Great. That makes sense. Thank you very much for all the clarity there and good luck next quarter.
Lourenco Goncalves: Thanks a lot. And with that, we are going to turn the call back to the operator to wrap up, and I appreciate the interest and we will keep in touch. Thanks a lot.
Operator: This concludes today's conference call. Thank you for joining us today. You may now disconnect.